Operator: Good morning, everyone, and thank you for joining today's Highwoods Properties, Inc. Q4 2025 earnings call. My name is Reagan, and I'll be your moderator for today's call. I would now like to pass the conference over to Brendan Maiorana, Executive Vice President and Chief Financial Officer. Please proceed.
Brendan Maiorana: Thank you, operator. And good morning, everyone. Joining me on the call this morning are Theodore J. Klinck, our Chief Executive Officer, and Brian M. Leary, our Chief Operating Officer. For your convenience, today's prepared remarks have been posted on the web. If you have not received yesterday's earnings release or supplemental, they're both available on the Investors section of our website at highwoods.com. On today's call, our review will include non-GAAP measures, such as FFO, NOI, and EBITDAre. The release and supplemental include a reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures. Forward-looking statements made during today's call are subject to risks and uncertainties. These risks and uncertainties are discussed at length in our press releases as well as our SEC filings. As you know, actual events and results can differ materially from these forward-looking statements, and the company does not undertake a duty to update any forward-looking statements. With that, I'll turn the call over to Ted.
Theodore J. Klinck: Thanks, Brendan, and good morning, everyone. Before I talk about our fourth quarter and outlook for 2026, I'd like to begin by highlighting some of the reasons why we're upbeat about the next few years for Highwoods Properties, Inc. First, the fundamental backdrop across our core Sunbelt BBDs is as strong as it's been in many years. There's limited to no new supply across our markets, and dwindling blocks of available high-quality space. New users continue to migrate to the Sunbelt. And even with mixed signals about the health of the overall economy, many existing companies in our footprint continue to grow their businesses. This dynamic has created rental rate growth not just in face rates, but growth in net effective rents, including rent spikes in our best BBDs. Given limited development starts forecasted for the foreseeable future, well-capitalized landlords with high-quality office in BBD locations in the Sunbelt are positioned to drive meaningful growth in rents. Second, the convergence of occupancy gains, rental rate growth, and stabilization of our development pipeline should enable Highwoods to deliver outsized NOI and earnings growth in the next few years. We expect to drive occupancy higher by roughly 200 basis points from 2025 to 2026. Plus, our development properties are projected to deliver year-over-year growth in each of the next three years. For the last few quarters, we've been emphasizing approximately $50 million to $60 million of NOI growth potential across eight buildings: four existing operating properties and four developments. We will realize some of this growth in 2026, but most will benefit our NOI trajectory in 2027 and beyond. Third and finally, we are positioned to invest at attractive risk-adjusted returns. Future investments are also likely to drive additional growth. We've invested approximately $800 million or nearly $600 million at our share over the past twelve months. These acquisitions, which were in the strongest BBDs of Charlotte, Raleigh, and Dallas, have a weighted average vintage of four years, an initial lease rate of 93.5%, waltz of nine years, rents approximately 15% below market, and projected stabilized cash yields of roughly 8%. The combination of strong fundamentals for high-quality BBD office and limited buyer pools creates an excellent opportunity for us to deploy capital at attractive risk-adjusted returns. These items combined with our proven track record and strong balance sheet give us confidence that we're well-positioned to grow for the foreseeable future. Our initial 2026 FFO outlook is 5.7% higher at the midpoint than our initial 2025 outlook. Now turning to our fourth quarter. We had solid financial performance with FFO of $0.90 per share, including $0.06 of land sale gains, resulting in full-year 2025 FFO of $3.48 per share. Excluding land sale gains, full-year FFO was $0.7 per share or 2% higher than the midpoint of our original outlook provided at the beginning of 2025. We leased 526,000 square feet of second-gen space during the fourth quarter, including 221,000 square feet of new leases. In addition, we signed 95,000 square feet of first-gen leases in our development pipeline. Signings on second-gen space were a bit lower in the fourth quarter compared to earlier in the year. We believe that was largely just timing, as already in 2026, signings have accelerated and the long-term trend continues to be positive. Leasing economics continue to be healthy in the fourth quarter. Cash rent spreads were positive, with GAAP rent spreads in the mid-teens. As we've long stated, we're most focused on net effective rents, which were strong again in the fourth quarter and helped make full-year 2025 our high watermark. For the year, net effective rents were 20% higher than in 2024 and 19% higher in 2022, our prior peak year. This performance underscores the improving fundamentals we're seeing across our markets and BBDs. Our $474 million development pipeline is now 78% pre-leased, up from 72% last quarter and 56% one year ago. Glenlake 3, our 218,000 square foot office, and amenity retail development in Raleigh, is 84% leased, with strong prospects to bring the property to the mid-nineties. At Granite Park 6, our 422,000 square foot building in the legacy BBD of Dallas, we signed 44,000 square feet since our last earnings call and are now nearly 80% leased. We signed 51,000 square feet at 23 Springs, our 642,000 square foot mixed-use development in Uptown Dallas, bringing the property to nearly 75% leased, up from 67% last quarter. At 23 Springs, current rents are 40% above our pro forma underwriting. Lastly, Midtown East in Tampa, our 143,000 square foot development, is 76% leased, and we have strong prospects for the remaining office space. Given the strong demand we've experienced with our current developments and demand from sizable users across many of our markets, we're starting to have conversations with prospective build-to-suit and anchor customers for new projects. We've included the potential for up to $200 million of development announcements in our 2026 outlook. We've been active on the investment front, especially late in 2025 and early in 2026. We acquired $472 million in 2025, including our $223 million acquisition of 600 at Legacy Union in the fourth quarter. 600 is a 411,000 square foot class double-A office tower in Uptown Charlotte. This property was completed in 2025 and is currently 89% leased, up from 84% when we acquired the building in November. We have strong prospects to bring the building into the mid-nineties. Because the property is just delivered and is currently only mid-forties percent occupied, NOI will be temporarily lower in 2026. We expect to reach stabilized yields of around 8% on both a cash and GAAP basis, with projected stabilization occurring on a GAAP basis in 2027 and cash in 2028. In January, we acquired two buildings in the BBDs of Raleigh and Dallas, for a total expected investment of $318 million, of which our share was $108 million plus $13 million of preferred equity. First, we acquired the Terraces in Dallas for $109 million in a JV with our longtime local partner Granite Properties, in which we have an 80% interest. The Terraces is a 173,000 square foot best-in-class property that was built in 2017 and is located in Preston Center, a new BBD for Highwoods. We believe Preston Center is the most supply-constrained BBD in Dallas, where rents have grown substantially over the past few years, giving us more than 30% mark-to-market upside on in-place leases. After signing a lease following our acquisition, we are now 100% leased at the Terraces. Second, we acquired Block 83 in Raleigh, a 492,000 square foot mixed-use asset that includes two ten-story best-in-class office buildings, with 27,000 square feet of ground floor amenity retail located in CBD Raleigh. We initially own a 10% interest in the joint venture that was formed to acquire Block 83. The North Carolina Investment Authority, a new investment partner for Highwoods, owns the remaining 90%. We have the option to increase our ownership in Block 83 to 50%. On a combined basis, we expect the initial GAAP yield on Block 83 and Terraces to be in the low to mid-8% range during 2026, while our initial cash yield will be around 7%, which is temporarily low due to free rent at Terraces that will burn off during 2026 and result in stabilized cash yields in the mid to upper sevens on a combined basis, prior to achieving rent roll-ups at the Terraces. We expect to fund our recent acquisition activity on a leverage-neutral basis, primarily through the sale of non-core assets or properties where value has been maximized. We sold $66 million of non-core buildings and land across various markets in the fourth quarter and an additional $42 million of non-core properties in Richmond subsequent to year-end. Our 2026 FFO outlook assumes we close $190 million to $210 million of additional dispositions by midyear. Upon stabilization of 600, we expect this leverage-neutral rotation of capital to be modestly accretive to our unaffected FFO run rate, while improving our long-term growth rate, strengthening our cash flows, and increasing our portfolio quality. To wrap up, we're excited about the outlook for Highwoods. First, given strong fundamentals across our markets, pricing power is shifting towards well-capitalized landlords who own high-quality buildings. Second, organic growth potential embedded in the Highwoods portfolio will be realized primarily through occupancy gains in our operating portfolio and stabilization of our development pipeline. Third, given our proven track record, we expect to continue to deploy capital at attractive risk-adjusted returns that enhance our long-term growth outlook, increase our portfolio quality, and strengthen our cash flows. These factors combined with our strong balance sheet and strong platform provide the foundation for sizable momentum over the next few years. I'm also confident in our outlook because of our engaged, hardworking, and talented teammates, who have long driven our consistent success. I thank the entire Highwoods team for their commitment and tireless dedication. Brian?
Brian M. Leary: Thank you, Ted. Our Sunbelt markets delivered a strong finish to 2025, validating our BBD strategy and setting us up for another year of occupancy and rent growth in 2026. These cities are net winners with regard to inbound talent, corporate relocations, and job growth. All are in the top 15 of the Urban Land Institute and PwC's top markets to watch and widely finished the year posting positive net absorption. With office development pipelines at record lows, a best-in-class commute-worthy portfolio, and a strong balance sheet, we're the beneficiaries of a market in full flight to quality mode, which is driving healthy lease economics across our BBD portfolio. The year's body of work included 3.2 million square feet signed with strong GAAP rent spreads of 16.4%, all-time high net effective rents, significant leasing across the development pipeline, and the meaningful backfill of long-communicated vacancies. In the fourth quarter, we signed 88 deals with cash rent spreads of a positive 1.2% and weighted average lease terms of almost six years. Expansions outpaced contractions two and a half to one for the quarter, over three to one for the year, and we ended 2025 over 89% leased. With competitive supply decreasing, construction pipelines at record lows, and with our customers' conviction on having their best and brightest in the office resolute, 2025's positive leasing environment is continuing into the new year. Across our Sunbelt BBDs, market fundamentals continue to outperform the nation. New supply is almost nonexistent, and inbound corporate relocations and growth marches on. Starting in Charlotte, the Queen City has not only kept its post-pandemic momentum, it found another gear according to the Bureau of Labor Statistics, finishing 2025 having generated more nominal jobs than any other metro area except New York City, which is seven times the size of Charlotte. The city's economic development office reinforced this highlight, naming 2025 the best year for business recruitment in a decade, with 15 announcements totaling 4,000 jobs and with no sign of a slowdown in 2026. This included major corporate relocations or new regional hubs for the likes of global logistics giants Maersk, Daimler Truck, Pac Life, SoFi, American Express, our new customer joining the recently acquired 600 at Legacy Union, and Scout Motors' 1,200 job global headquarters in the uptown adjacent neighborhood of Plaza Midwood. CBRE noted leasing activity in 2025 echoed the region's job productivity, reaching its highest level in more than six years. Roughly 5.2 million square feet of deals were signed, with 75% of the volume related to leases that were either new or expansions. Trophy and top-tier class A space in uptown, South Park, and South End are effectively full. Development under construction is largely preleased, and there is virtually no new speculative product in the pipeline. Against this backdrop, our 2.4 million square foot Charlotte portfolio, already in the mid-nineties leased, is positioned to capture further rate growth as leases roll. This is evident in our portfolio by the pace and healthy economics of any reletting, as well as the activity Ted mentioned at 600 since our acquisition. Heading west to Yall Street, Dallas is the number one market to watch according to ULI and PwC for the second straight year. In Big D, CBRE noted 2025 net absorption near its post-pandemic high. Class A office posted its fifth consecutive quarter of positive absorption, and with the recent acquisition of the Terraces in Preston Center, we now own 1.8 million square feet with our partners at Granite across Uptown, Legacy, and Preston Center, the three BBDs we initially targeted for investment when we entered Dallas four years ago and where the market strength is largely concentrated. To the Volunteer State, where Cushman highlighted that Nashville's 2025 net absorption was twelfth nationally overall, with 900,000 square feet for the year, and asking rents reaching all-time highs. Alvis and Young noted that after absorbing a wave of new construction, the pipeline has dropped to historical lows. Trophy office availability declined at a nationally leading rate, and up to 2 million square feet or 13% of downtown office stock is being converted to announced hotel and residential uses. Our portfolio concentrated in downtown Franklin and Brentwood is benefiting from this environment with steady leasing velocity and prospects that should allow us to both fill remaining vacancy and mark rents to market. To that end, Symphony Place in Downtown, Park Place West in Franklin, and our Westwood South building in Brentwood all have strong pipelines of prospects to bring these buildings to stabilized levels. Stepping back, 2025 confirmed that our Sunbelt and BBD-focused portfolio is aligned with where tenants want to be. We are overweighted in the submarkets with the greatest absorption, tightest supply, and rising class A rents. This combination gives us line of sight to further occupancy gains and mark-to-market economics in 2026. This underscores our confidence in our ability to unlock the durable growth that is embedded within the Highwoods platform. Brendan?
Brendan Maiorana: Thanks, Brian. In the fourth quarter, we reported net income of $28.7 million or $0.26 per share. Our FFO was at $100.8 million or $0.90 per share, which includes $0.06 per share of land sale gains. During the quarter, we issued $350 million of unsecured bonds and acquired 600 at Legacy Union, which, as Ted described, is a just-completed trophy office building with low initial NOI as several signed leases have not yet commenced. The impact of the bond issuance and the acquisition of 600 reduced FFO by 1¢ per share. Excluding these two items and the land sale gains, our fourth-quarter results were in line with the midpoint of our upwardly revised 2025 outlook provided in October. Since our last earnings call, we've invested over $330 million to acquire best-in-class office and amenity retail properties across the strongest BBDs in Charlotte, Dallas, and Raleigh. We plan to fund these acquisitions on a leverage-neutral basis, primarily through the sale of non-core assets or other properties where value has been maximized. We closed $66 million of dispositions in the fourth quarter and another $42 million so far this year. Our early fourth-quarter 2025 ATM issuances provided about $20 million of leverage-neutral purchasing capacity, leaving us roughly $200 million of additional dispositions required to complete our asset rotation on a leverage-neutral basis. We plan to complete these additional dispositions by midyear. Before I review the impact of the recent investment activities on our 2026 outlook, I want to first highlight our asset recycling over the past twelve months. We've invested $580 million to acquire high-quality office buildings in the strongest BBD locations in the Sunbelt and sold $270 million of non-core properties. Upon stabilization of 600 and after we sell another $200 million of assets, this leverage-neutral rotation will be modestly accretive to our near-term FFO, strengthen our cash flow, increase our long-term growth rate, and improve our market mix and portfolio quality. This rotation has resulted in a reduction to our portfolio age by over two years to a weighted average vintage of 2007. That's not easy on a roughly 27 million square foot portfolio. Now to our 2026 outlook. We're introducing an initial FFO range of $3.40 to $3.68 per share, which equates to $3.54 at the midpoint. Since our last call in late October, we've completed a number of investment and financing transactions that will temporarily impact 2026, but not impact 2027 and thereafter. First, the acquisition of 600 at Legacy Union will have a dilutive impact on 2026 by approximately 7¢ per share given the building is 89% leased, but currently only 44% occupied as several large leases won't commence until late in the year. GAAP NOI at 600 is projected to be approximately $10 million in 2026, and more than $18 million in 2027 upon stabilization. Second, we opportunistically accelerated a bond issuance into late 2025 that we had originally planned for late 2026 or early 2027. We made this decision given the strong backdrop in the bond market and to provide us temporary liquidity to fund the acquisitions of 600, the Terraces, and Block 83 prior to completing the leverage-neutral rotation of capital I described earlier. This will leave us with excess cash on the balance sheet and no borrowings on our credit facility for much of 2026 but eliminates the need for a bond issuance later this year and will enable us to repay our $300 million March 2027 bond maturity with cash on hand and borrowings on the credit facility. This short-term excess liquidity is expected to reduce 2026 FFO by $0.03 per share but should not have any impact on our previously unaffected run rate for FFO for 2027 and beyond. Third, because we have another $200 million of dispositions to go to complete our leverage-neutral rotation of capital, our leverage is temporarily elevated, which increases our projected 2026 FFO by 1¢ per share. Said differently, if we had completed the planned additional $200 million of dispositions in January instead of the first half of the year, our FFO outlook would be $0.01 lower. Adding all these items together results in 9¢ per share of temporarily lower FFO in 2026 at the midpoint of our outlook but doesn't have any impact on our 2027 FFO or subsequent years. Finally, we've included up to 16¢ per share of land sale gains or 8¢ at the midpoint of the range. The potential land sale gains all relate to parcels that are under contract and scheduled to close later in 2026. Taken together, these items, none of which were known when we reported third-quarter 2025 results in October, have reduced the midpoint of our otherwise unaffected 2026 FFO outlook by $0.01 per share. Just a couple of other items to note. First, we provided our projected year-end occupancy outlook rather than average occupancy primarily due to the outsized impact of 600 at Legacy Union. At the midpoint, our year-end occupancy projection of 87.5% appears consistent with what we discussed on our last call, but it's actually a little stronger as our planned asset recycling activities are projected to reduce our year-end 2026 occupancy by 25 basis points compared to our portfolio at the end of the third quarter of 2025. Second, same property cash NOI is expected to be roughly flat in 2026, but GAAP NOI is estimated to be 150 basis points higher than cash NOI. As you know, when GAAP same property NOI is higher than the corresponding cash metric, it's typically a strong indicator for future same property cash NOI growth. Finally, we expect our debt to EBITDA ratio to start the year but steadily decline after Q1 as planned disposition proceeds are used to reduce debt and EBITDA steadily grows as we migrate throughout the year. Lastly, as you may have noticed, we made some routine SEC filings yesterday and this morning. Under SEC rules, S-3 shelf registration statements sunset every three years. It has been three years since our last shelf filing. As a result, last evening, we filed a new S-3 with the SEC. This was a joint shelf filing by the REIT and the operating partnership that registers an indeterminate number of debt securities, preferred stock, and common stock for future capital markets transactions. With this new shelf in place, we also need to refresh our long-standing ATM program, which we filed via form 424B this morning. As you know, keeping an ATM program in place is one of the many arrows we like to keep in our capital-raising quiver. To be clear, the FFO per share outlook that we provided in last night's release assumes no ATM issuances during 2026. Operator, we are now ready for questions.
Theodore J. Klinck: Thank you.
Operator: We'll now begin our Q&A session. So if you would like to ask a question, you may do so by pressing star 1. Once again, to ask a question, please press star 1. We'll briefly pause here as questions are registered. Our first question comes from the line of Seth Eugene Bergey of Citi. Your line is open.
Seth Eugene Bergey: Hey, thanks for taking my question. I guess just to start off with, kind of on the capital recycling, you talked a little bit in the opening comments around kind of, you know, enhancing your long-term growth rate. You know, just kind of in the context of the 2026 guidance, like, when do you kind of expect to realize that elevated growth rate? Is that kind of like a 2027 story? Or something further beyond that?
Brendan Maiorana: Hey, Seth. It's Brendan. Maybe I'll try to answer that. So I think there's a couple of different things going on with the recycling activity. Obviously, the impact on 2026 numbers is one-time in nature that we tried to lay out. So that's that kind of 1¢ 9¢ one-time impact that's there. That goes away in 2027. So I think if you thought about stabilized growth and you reverted back to what your estimates were in October for 2027, nothing that we've done since October should have any impact on your 2027 outlook. The asset recycling is neutral to modestly accretive to FFO in 2027. And the outlook on occupancy for year-end '26 is right in line with what we mentioned in October. If anything, it's probably up 25 basis points kind of on a same-store basis, so that feels a little bit better. So I guess if you looked at the '26 numbers and backed out the land sale gains, you'd get a lower growth in '26 but then a very significant amount of growth in 2027. But I think the way that we think about it from a long-term perspective is if the internal growth of the portfolio is just a 3% NOI over time, we continue to kind of grind that number higher by recycling into higher growth assets and recycling out of lower growth assets.
Seth Eugene Bergey: Thanks. That's helpful. And then, you know, just going back to kind of the development pipeline, you know, and hitting kind of that 78% pre-leased number, how is kind of demand for the balance of that leasing on the development pipeline?
Theodore J. Klinck: Hey, Seth. It's Ted. Look. I think demand we're still seeing really good demand. Think if you think about the progress we made throughout 'twenty five, you know, a year ago, we were 56% leased, and then last quarter, '72. So we've just continued to grind higher throughout 2025, and the demand remains good. As I mentioned, I think, on our prepared remarks, two of our developments, Glenlake 3 here in Raleigh, and Midtown East in Tampa, we have what we classify as strong prospects for the remaining space effectively. For Midtown East, it's all the remaining office space. And for Glenlake 3, it gets us to mid-nineties, I think, percent. And then you go over to Dallas, the 23 Springs we're currently around 75%. We've got prospects to move higher there as well. And then on Granite Park 6, it's a little quieter. We've got a couple of smaller prospects. I think it's just gonna be a long slog, and there aren't any big users out there to get us from we're just shy of 80 today. So I think we're just gonna hit some singles, and we'll continue to march that higher as well over time. But feel overall really, really good about our prospects.
Seth Eugene Bergey: Thanks.
Operator: Thank you. Our next question comes from the line of Blaine Heck of Wells Fargo. Your line is open.
Blaine Heck: Great, thanks. I guess just digging in a little bit more to your tenant conversations. There's a narrative out there that, you know, the Sunbelt is more prone to AI displacement. I was hoping you could comment on whether you've seen any impact to your investor or tenant base, I should say, from AI-related layoffs. And do you see any of your markets as having elevated exposure to potential displacement of jobs driven by AI kind of efficiency?
Theodore J. Klinck: Hey, Blaine. It's Ted. I'll start, and if Brendan or Brian want to jump in. Look. We really haven't. I mean, obviously, what we try and tell you on the call is what we're seeing with boots on the ground. And, you know, we all see the narrative on AI, whether it be soft companies a week or so ago, financials the other day. It's just not what we're seeing from our customers and on the demand. I mean, we continue to see in-migration coming to our markets. Companies are taking more space, not less space. Our own operating portfolio, expansions continue to outpace contractions. So look. You know, who knows what the ultimate outcome's gonna be? I do think back-office jobs are probably more susceptible to AI versus client-facing jobs, and that's most of our portfolio is client-facing jobs. So it's yet to be seen, but, look, we're not hearing any of that out of our client base yet.
Brian M. Leary: Hey, Blaine. Brian here. Just to clip on, and Ted's mentioned this in the past. Our bread and butter are smaller customers in general. So that has a sort of insulator effect on the AI, at least right now. I think folks are seeing it as a productivity tool as opposed to a job elimination tool at the moment. But we know we're not ignorant to the impacts it will have on the overall job market.
Blaine Heck: Okay. That's great to hear. Brendan, sorry for the broken record question, but we're getting a lot of questions on cash flow. We've touched on the elevated CapEx before with all the leasing you're doing, but it does look like straight-line will also be much higher this year. So I guess again, can you give us an update on how long you see these elevated impacting cash flow? And related to that, you know, just touch on the payout ratio and your comfort of riding through some period of depressed cash flow as it pertains to the dividend.
Brendan Maiorana: Yeah, Blaine. Thanks. So what I would say, I guess, if we look at 2025 levels, and I think we were, you know, call it, on overall cash flow, we might have been $13 or $14 million kind of shy of coverage on the dividend. But that included $145 million of spend on leasing capital in 2025. And a normal year for us is about $100 million. And we committed $115 million during 2025. So anytime there's more spend than what is committed, that's typically a pretty good indicator that your spend on future periods is gonna go down. So I think it's likely that 2026 spend is probably gonna be a little bit lower than '25. I don't know if we'll be $30 million lower, but we think it's going to be lower. And then when you think about the amount of straight-line rent that's kind of in those numbers, that is future cash flow that's gonna come online. And so we feel very good about kind of the long-term outlook of cash flow going forward from a combination of increased cash NOI that will come online over the next several quarters and a return to normalized leasing CapEx over time. That's gonna create a significant amount of increased cash flow, and we're comparing that to, you know, last year's numbers where we were a little bit shy. But I think if you kind of normalize for all those things, that gets you back into that context of where we were a few years ago, which keep in mind from 2021 through 2024, I think we've retained a cumulative $150 million of cash flow above the dividend. So I think we feel very good about our ability to kind of get back there.
Blaine Heck: Very helpful. Thank you.
Operator: Thank you. Our next question is from the line of Nicholas Patrick Thillman of Baird. Your line is open.
Nicholas Patrick Thillman: Hey. Good. Maybe touching on the $200 million of non-core sales and the $0 to $17 million of land sale gains embedded in the guidance here. I guess, overall, as we're reviewing that non-core sales, what percentage of that, if you could put a number around, is related to land sales versus core asset sales? And the type of property, maybe touching on the type of buildings you're also looking to dispose of within that pool.
Theodore J. Klinck: Hey, Nick. It's Ted. Yeah. Of that 200 or so, none of that land is not any part of that. The land sales we have will probably be later in the year, we would anticipate. So, look, as you know, we're regular sellers of non-core assets every year. And I think this year is gonna be really no different if either as non-core assets or assets where we've maximized, think we've maximized the value. So it's, you know, it's gonna be a variety of markets as well. I think last year, we sold assets in Richmond, Atlanta, Raleigh, Tampa, Orlando. We sold land in Orlando. So just gonna be a mix of older assets or assets where we maximize the value as well. So it's gonna look a lot like, you know, prior years probably.
Nicholas Patrick Thillman: That's helpful. And then, Brendan, maybe just a little bit on the occupancy bridge throughout the year. I know you removed the average occupancy within the press release, but in the K, you did mention it's gonna be average occupancy of 85 to 87% throughout the year. I know there's a little bit of a drag related to some developments coming online. But maybe just touch on how you expect that occupancy to progress throughout the year.
Brendan Maiorana: Yeah, Nick. Good question. Yeah. It is so we ended the year at 85.3. That obviously included kind of a 70 basis point drag associated with the acquisition of 600. And then as you correctly point out, we've got developments, Glenlake 3 and Granite Park 6 that'll move into the operating pool in the first quarter. Those are low in terms of occupancy, will not be low in occupancy by end of year because the lease rate on those is relatively high. But that's gonna depress kind of first-quarter numbers a little bit. And also keep in mind, we just sold roughly a little over 500,000 square feet of very highly occupied assets that are gonna come out of that number. And then what we're planning on selling for the remaining roughly $200 million also is fairly occupied. So that's gonna kind of bring the number down a little bit early in the year and then steadily improve kind of as we migrate second quarter, third quarter, fourth quarter.
Nicholas Patrick Thillman: Helpful. Thank you.
Operator: Thank you. Our next question is from the line of Dylan Brzezinski of Green Street. Your line is open.
Dylan Brzezinski: Hi, guys. Thanks for taking the question. You guys talked a lot about sort of how you're expecting to sort of complete the current capital recycling program within the first half of this year. I think in your guys' press release, you guys mentioned also potentially up to another $150 million of dispositions. Just sort of curious, you know, as you guys look at the portfolio today, I mean, do you guys get the sense that you're sort of nearing the final innings of paring down some of the what you guys might call quote, unquote, non-core assets? And as you sort of think about uses of that capital, you also mentioned $250 million of potential acquisitions. Just sort of curious how you guys are looking at things now that the stock has sold off quite a bit now. Are share repurchases a potential use of that capital? Thanks.
Theodore J. Klinck: Hey, Dylan. It's Ted. I'll start. Look. I think as you know, you know us pretty well. I think if you've looked at our strategy throughout the years, we're consistent capital recyclers, always selling the bottom assets and recycling into newer higher growth assets. So I think that's something we're gonna continue, and there are still obviously, we still have Pittsburgh, that we do want to get out of and some other older assets on top of that. So there's still some work to do, but we've been, again, as we've said, we've been incredibly successful to do this capital rotation time and time again on a leverage-neutral and FFO neutral to slightly accretive basis. So and we feel comfortable with our ability to do that as well. And as that dilutions. So, anyway, we feel comfortable about our long-term capital rotation plan. In terms of the buybacks, look. I think, you know, we talk about it with our board quarterly. It's obviously a capital allocation decision as you alluded to. We're always looking to, you know, what's the best use of our capital. We look at all of our alternatives, whether it's buybacks, acquisitions, development, I think is becoming more interesting these days, highwetizing, which we constantly get very attractive yields on our highwetizing projects. Think you're familiar with. So, again, we look at what we're gonna do over the long term. I'd never say never, but, right now, I wouldn't say we're gonna deviate from our standard operating procedure.
Dylan Brzezinski: That's helpful. And then maybe just one last one. You mentioned potential development opportunities. I guess, what sort of yield requirement would you guys need in today's investment environment to start any sort of either build-to-suit or spec development project?
Theodore J. Klinck: Yeah. Look. I think you've seen what we're buying. One of the nice things about Highwoods is we're both a developer and an acquirer, so we can sort of toggle back and forth throughout the cycle. And, just given the dearth of new development, we're starting to feel more incoming calls in both developments and whether it be a build-to-suit or substantially preleased development start. So there's gotta be a premium, right, over on acquisitions to new development. But we don't really discuss our development yields primarily from a competitive standpoint. I mean, there's a lot of things that go into a development yield, whether it be the market, a submarket, what we think the exit cap rate is, the term, the credit of the lease, what annual bumps are. So just a lot of factors that come into it. So we really don't get into those yields. But suffice it to say, the premium over what acquisition cap rates are today.
Dylan Brzezinski: Great, Ted. Appreciate the color. Thanks.
Operator: Thank you. Our next question comes from the line of Ronald Kamdem of Morgan Stanley. Your line is open.
Ronald Kamdem: Yeah. Oh, great. Just two quick ones. Just going back to sort of the guidance, if you sort of back out the land sale gain and so forth, just trying to think is the you think about 25 versus 26, was there anything else sort of going into the number other than the dilution from the sales and the financing? Just wondering if there was anything else sort of fundamental driving that number. Thanks.
Brendan Maiorana: Yeah, Ron. It's Brendan. The only other thing that, you know, that we've talked about is there's probably, on a year-over-year basis, kind of call it, 5¢ of headwind on that other income line item that's there, which I think we talked about maybe on one of the last calls that if 25 was sort of elevated, 26 is not, you know, it's not a zero, but it's probably more in line with a normalized year compared to kind of an elevated outlook. So I think if you adjust for the one-time items associated with the acquisition and the financing in 2026, and you know, and you normalize kind of that other income line item, you get to, you know, a pretty healthy kind of growth rate at the core, which I think gives us confidence as we think about kind of the company going forward where we've got good growth levers that are in there. So I think that's probably a fair way to think about kind of at the core how much we're growing and how we think about that over an extended period of time.
Ronald Kamdem: Great. And then my second question was just on the leasing. You just remind us what sort of the new leasing bogey should be thinking about to grow occupancy? It looked like it maybe was a little bit lighter during the quarter. Then picked up post-quarter. Is that right? Just any color there would be helpful.
Brendan Maiorana: Quarter meters. Is low. As you mentioned, it certainly picked up here in the early part of the year. Just to kind of lay out context in terms of where we need to get to to be at that 87.5 number by end of year. We've got about 2.1 million square feet of remaining expirations in 2026. So there's probably we expect about 1.3 of that is likely to kind of move out. We currently have 1.2 million square feet of leases that are signed that are not yet in occupancy that will be in occupancy during 2026. So that leaves kind of compared to where we are at the 2025, we're down about 100,000 square feet, maybe a little bit less than that. So what we need to do from a new leasing standpoint is do about 750,000 square feet of new, seven to 750,000 square feet of new. And, generally, we probably need to get those signed to have them in occupancy by kind of middle of the third quarter. So that's about 300,000 square feet of new per quarter. And that creates about 250 basis points of net absorption. Our occupancy guide is 220. So we're gonna lose about 25 basis points or so from the asset recycling that we talked about, just selling some of the things that we did early in this year and then what we expect to do. So, hopefully, that all makes sense, but we feel like all of that is very attainable, relative to kind of what the business plan is.
Ronald Kamdem: Thank you.
Operator: Our next question comes from the line of Vikram Malhotra of Mizuho. Your line is open.
Vikram Malhotra: Good morning. Thanks for taking the question. I guess, Brendan, I just wanted to go back to be clear on your comments around sort of the unaffected rate, I mean, the FFO run rate not being affected as we go into 2027. Just thinking about the positive benefits from the land sales, that's one-time versus the dilution or the run rate occupancy from the acquisition trending up? Do you mind just sort of going over that math again just so we understand as we go from 4Q 2026 into 1Q 2027, kind of that step up that you're alluding to, versus maybe what we have modeled for 2027 FFO?
Brendan Maiorana: Yeah, Vikram. So I guess what the NOI that we have for I'll break it down into kind of the three items. The NOI that we have at 600 we disclosed when we acquired the building. Our expectation for GAAP NOI in 2026 is $10 million. That number, we think, will be greater than $18 million in 2027, and there's really not a lot of leases that we need to do at this point to achieve that NOI projection for 2027. NOI there will be low throughout the majority of 2025. But it will build a little bit as we progress throughout the year. So it's not gonna be 2.5 million a quarter. It's gonna start a little bit lower than that. But the largest lease that is not currently in occupancy is American Express, which Brian mentioned. That comes in occupancy on 12/01/2026. So we really don't get a lot of benefit from that. So most of that $8 million annual increase will kind of show up early in 2027 relative to 2026. So you're gonna get most of that kind of in '27. And then we're gonna be fairly inefficient from a capital standpoint based on our projections as the disposition proceeds come in the door, and we'll have cash on hand for much of 2026, at least based on our current expectations. We will use that cash and then likely borrowing on the credit facility to repay the March 2027 bond. So whereas that probably in your outlook for 2027, three to four months ago, you probably had some refi headwind in that number. Now in all likelihood, that's not gonna be much of a headwind because kind of between cash and borrowing rate on the line, that's roughly in line with kind of where the interest rate is on that. So those items kind of give you sort of built-in growth in '27. And then we're obviously moving occupancy up throughout the year. The development properties are gonna build in terms of the NOI contribution that they have throughout the year. So the combination of kind of all of those things drives a lot of build as we migrate throughout 2026 and then into 2027.
Vikram Malhotra: That's helpful. And just on that occupancy build, do you mind just walking through any large expirations or new known move-outs either this year or next year that could, you know, potentially cause that occupancy to take a step back just relative to the last few years when you've had bigger move-outs? I'm just trying to get a sense of what the next two years look like. Thanks.
Theodore J. Klinck: Hey, Vikram. It's Ted. The nice thing is our forward, I'd say, three-year outlook on expirations doesn't look anything like what it did in the last three years. So we feel really good about where we are. I mean, we don't have any expiration or known move-out greater than 100,000 square feet. Any expiration greater than 100,000 square feet until mid-2027, there's only one that's greater than 100,000. That one we have is the only one we have throughout all of '27. And we think there's a decent chance of renewing that one. So again, we feel really good with we have a few known move-outs that are in that fifty to sixty thousand feet, but we've already backfilled half to two-thirds, even all of it on some of those. So I think it's, we feel really good about where we stand today about our forward expirations.
Vikram Malhotra: Thank you.
Operator: Our next question comes from the line of Peter Dylan Abramowitz of Deutsche Bank. Your line is open.
Peter Dylan Abramowitz: Yes. Thank you for taking the question. Just wondering if you could talk about the expected pricing on asset sales, not only what you closed so far in the fourth quarter and subsequent to year-end, but also the $200 million or so that you're gonna close over the next six months. Just from a modeling perspective, kind of what's the NOI impact or cap rate on that?
Theodore J. Klinck: Maybe I'll start, then Brendan can jump in with any details. But look, as you alluded to, we've sold $270 million in 2025 in the first month or so this year. And the blended cap rate there was sub-8%. It was a mix of assets. You know, we sold really, we sold eight assets to users last year, so we feel good about getting user pricing. We sold one to a triple net lease buyer. Sold one to a 1031 guy. So it's been a variety of assets and a variety of buyers. So, sub-8% cap rate on that $270 million, and I think it's gonna be similar or maybe a little bit better than that on the remaining couple hundred million.
Peter Dylan Abramowitz: Right. Thanks, Ted. And then maybe one for Brian. Just wondering if you could kind of go around the horn to some of the major markets and talk about concessions to bring tenants into occupancy there. Are they generally stable or still increasing or even declining? Just any color you can provide there would be helpful.
Brian M. Leary: Sure, Peter. Thanks for the question. I would say in general, they are stabilized. What we are seeing is that customers want the best space, and that costs, you know, it costs more than it did before. So they're willing to kind of commit to term to do that. So that's sort of how Brendan mentioned the amount of CapEx that's associated with leasing over the last year. So I think we're seeing that, and we're happy to trade that. Just going through the market, I'll tell you, Charlotte, Dallas, Nashville, and Tampa, very competitive. Any space we might have available in Charlotte, we're getting looks well in advance of folks sort of jockeying for it. You heard in my prepared remarks the amount of job growth in Charlotte. There's really no space left for prime and top-tier class A in Uptown, South End, or South Park. So that does help moderate that kind of pressure on concessions. Dallas, we're very fortunate in Dallas, obviously, being Uptown. Have the top of the market building that's delivered and available now at 23 Springs. Preston Center with our new addition at the Terraces is full 100%, as Ted mentioned. Recently signed, and that's the lowest vacant BBD in the entire market. We will continue to lean in on the Granite Park 6 lease-up there. We underwrote it from a development standpoint to do that. So maybe that BBD legacy has gotten bigger kind of spaces and typical bigger users. And we've been very, very happy with the development delivery of Midtown East in Tampa. We're looking at triple net rents now into the fifties. So now I'll tell you, it's competitive out there. We are still committed to occupancy. But we are able to move rate and obviously moderate concessions across the board and reduce them where we're most competitive.
Peter Dylan Abramowitz: Alright. Thanks for the time. Appreciate it.
Operator: Thank you. There are currently no questions waiting at this time. So as another reminder, it is star 1 to ask your question. There seem to be no questions waiting at this time. So I'll pass it back over to management for any closing or further remarks.
Theodore J. Klinck: Well, thank you, everybody, for joining the call today. We appreciate your time and your questions. If you have any follow-up questions, please feel free to reach out to us. Have a great day.
Operator: Thank you. That will conclude today's call. Thank you for your participation. You may now disconnect your line.